Operator: Good day, ladies and gentlemen, and welcome to our Third Quarter 2012 Mettler-Toledo International Earnings Conference Call. My name is Mike, and I will be your audio coordinator for today. [Operator Instructions] I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please go ahead, ma'am.
Mary T. Finnegan: Thank you, Mike, and good morning, everyone. I am Mary Finnegan, Treasurer and responsible for Investor Relations at Mettler-Toledo, and happy to welcome you to the call. I am joined by Olivier Filliol, our CEO; and Bill Donnelly, our Chief Financial Officer. I want to cover just a couple of administrative matters. This call is being webcast and is available for replay on our website at www.mt.com. A copy of the press release and the presentation that we refer to on today's call is also available on our website. Let me summarize the Safe Harbor language, which we outlined on Page 1 of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our most recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the captions Factors Affecting our Future Operating Results and in the Business and Management Discussion and Analysis of Financial Condition and Results of Operations in our Form 10-K. Just one last item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measures and the most directly comparable GAAP measures is provided in our 8-K. I will now turn the call over to Olivier.
Olivier A. Filliol: Thank you, Mary. Good evening, and I'm glad you could join us this evening. Before we start, I want to convey my thoughts and best wishes to all of you who may have been impacted by the storm and its aftermath. We hope that you and your families are safe and that you have not suffered too much damage or disruption. I'm making this call from Tarrytown, New York, while Bill and Mary are in Columbus, Ohio, as the weather prevented us being in the same location as we typically are. I will start with a summary of the quarter, and then Bill will provide details on our financial results and our updated guidance for 2012 and initial 2013 guidance. I will then provide an update on some of our growth initiatives, particularly those tailored to this more challenging market environment. As always, we will have time for Q&A at the end. The highlights for the quarter are on Page 2 of the presentation. Local currency sales increased 1% in the quarter. We experienced slowing growth in customer demand throughout the world, particularly in Europe. As a reminder, we had excellent growth in Q3 2011, as local currency organic sales were up 14%. One of our strongest organic sales growth quarters ever. Although the macro environment is challenging, we had very good execution in our margin improvement and cost control initiatives, which drove a strong 19% increase in EPS in the quarter. I'm very pleased with the earnings growth we generated and the progress we have made on our strategic initiatives. There's a great deal of uncertainty in the global economy today. We expect conditions to remain challenging for the rest of this year and into the first half of next year. This is particularly true for Europe. However, with the benefit of the cost control actions and our margin initiatives, we expect to have solid EPS growth in the fourth quarter and in 2013. Bill will provide you with some additional details on guidance, so let me turn it over to him to cover our financial results first.
William P. Donnelly: Thanks, Olivier, and hello, everybody. Let me start with additional details on sales, which were $578.6 million in the quarter, an increase of 1% in local currency. On a U.S. dollar basis, sales declined 4% in the quarter, which included a negative 5% impact due to currency. Turning to Page 3 of the presentation, we outline sales by geography. In the quarter, local currency sales increased 1% in the Americas, 7% in Asia/Rest of World. Sales declined by 5% in Europe. The next slide provides year-to-date sales. On a year-to-date basis, sales increased 4% in the Americas, 12% in Asia/Rest of World, while sales declined 2% in Europe for the period. Acquisitions contributed approximately 1% to sales growth in Europe during the first 9 months. On Slide #5 of the presentation, we outline our sales by product area. In the quarter, lab sales increased 1% and industrial sales increased 3%, while food retailing was down 9%. The next slide provides year-to-date sales by product area. Laboratory sales increased 6%, industrial sales increased 6% as well, and food retailing declined 6% in the first 9 months of the year. Acquisitions contributed 2% of industrial sales growth on a year-to-date basis. Turning now to Slide #7, we show our full P&L. Let me walk you through the key items. We're quite pleased with our gross margins which were 53.3% in the quarter, a 100-basis point improvement over the prior year. We benefited from pricing, currency and had good product mix. These benefits were offset somewhat by negative geographic margin mix due to lower European sales, as well as additional investments we made in our field service organization. R&D amounted to $27.9 million in the quarter, an increase of 1% in local currency. SG&A amounted to $171 million, a 2% local currency decrease as compared to the prior year quarter. The benefit of our cost control measures, as well as lower variable compensation contributed to the decline. Adjusted operating income amounted to $109.2 million dollars, that's an 11% increase over the prior year amount of $98.5 million. Our operating margins amounted to 18.9%, a 250-basis point increase over the prior year level. Favorable currency contributed to the margin improvement, but even excluding currency, operating margins increased by 130 basis points over the prior year. We are very pleased with operating income growth and the margin improvement, particularly given it's a challenging sales growth environment. A couple of final comments on the P&L. Amortization amounted to $5.2 million in the quarter while interest expense was $5.6 million. Fully diluted shares for the quarter were $31.6 million. So for the quarter, adjusted EPS was $2.40, a 19% increase over the prior year reported amount of $2.01. As in earlier quarters this year, we benefited from a lower tax rate this quarter. Last year, our effective tax rate, before discrete items, was 26%. This year, it was 24.5%. This change contributed approximately 2% to adjusted EPS growth in the quarter. Adjusted EPS also benefited from currency in the quarter by approximately 3%. This primarily reflects the impact of the Swiss franc versus the euro. In the third quarter of 2011, the average rate fell below the current floor of 1.20 that was established by the Swiss National Bank. Going forward, if currencies don't move from current levels, we should see little impact on our earnings. On a reported basis, earnings per share were $2.28 as compared to $2.09 in the prior year. Reported EPS includes pretax restructuring charges of $3.1 million, which represents $0.08 per share. The next slide summarizes our year-to-date results. Adjusted EPS was $6.19, a 16% increase over the prior year amount of $5.35. Now let me turn to cash flow. Free cash flow in the quarter was $87.3 million as compared to $62.8 million in the prior year. On a per share basis, this is an increase of 44%. DSO amounted to 43 days while ITO was 4.6x. Year-to-date free cash flow per share has increased 31% over the prior year. For the full year, we continue to expect free cash flow in the $250 million range. During the quarter, we repurchased approximately 444,300 shares for a total of $72.1 million. Year-to-date, we've repurchased 1.2 million shares at -- or for $207.9 million dollars. Let me update you briefly on our cost control measures that we announced last quarter. These are being undertaken in light of the challenging economic environment. We are well on track with our plans. As a reminder, the measures include the transfer of certain functions to lower-cost countries, workforce reductions and rationalizations of certain operations. We expect total restructuring charges, by the end of the program, to be in the range of $20 million to $25 million and it's primarily for severance cost. To date, we have taken $11.3 million of such charges. We remain comfortable with our target to reduce operating cost by approximately $40 million on an annualized basis once the program is completed. However, because some of these initiatives will take time to complete, we'll not get the full benefit until the end of 2014. Now let me turn to guidance. We are facing a more challenging economic environment versus the last time we spoke. Global growth has continued to slow, particularly in Europe, and more recently, we have seen slowing in the United States. In Asia/Rest of World, more specifically China, we have slowing growth, particularly on the industrial side. We anticipate market conditions to remain challenging for the remainder of 2012 and into the first half of 2013. And with that as a backdrop, let me provide some additional details. For the fourth quarter, we expect local currency sales growth to be similar to what we saw in the third quarter, which would mean in the range of flat to plus-2% on a local currency organic basis. With the benefit of our cost control measures and margin initiatives, we would expect the sales growth to translate into adjusted earnings per share in the range of $3.10 to $3.20 or a growth of 8% to 11%. As a reminder, we expect currencies to have a neutral impact on earnings per share in Q4. This compares to a 3% benefit that we had this past Q3. Incorporating this quarter -- fourth quarter guidance, we expect local currency sales growth for the full year 2012 to be in the range of 3% to 4%. This is slightly lower than our previous guidance in the range of 3% to 5%. For the full year, acquisition growth represents approximately 60 to 70 basis points. While our sales growth for the full year is slightly lower, with the benefit of strong third quarter results and our expectation for another solid quarter of EPS growth in Q4, we have increased our adjusted EPS guidance range. We now expect adjusted EPS for 2012 to be in the range of $9.30 to $9.40, which represents a growth of approximately 11% to 12%. Previously, we had expected adjusted EPS to be in the range of $9 to $9.40. Now for 2013, our initial expectations are that local currency sales growth will be in the range of 1% to 4% for the full year. As mentioned, we would expect better growth in the second half of the year as compared to the first half. We expect adjusted EPS to be in the range of $10 to $10.30. Using the midpoint of 2012 guidance, this represents a growth rate of approximately 7% to 10%. A couple of minor points to clarify. In terms of the impact of currency on sales, we would expect currency to reduce sales by approximately 2% in the fourth quarter, which results in a reduction of 3% for the full year 2012. For 2013, we would expect currencies to be neutral to sales overall. This is based on current exchange rates. I know that you have built -- been building out your models for next year. Given our low sales growth expectations for the first and second quarters, I would expect more moderate EPS growth these quarters as compared to the second half of the year. Looking at some of our models today, I note that your assumptions may be higher. We will provide more details on future calls but thought it was worth highlighting that now. One last comment. We prepared our guidance before Hurricane Sandy. Some of you have asked us about the potential impact. It's too early for us to gauge at this time. On a positive side, no personnel from Mettler-Toledo were hurt, and we had no meaningful damage to any of our locations. We, of course, will see some short-term effects but the ultimate impact to our customers and the timing of their buying decisions will need to be seen over the course of the coming weeks. We have not built in anything into our current assumptions. Okay, that covers my comments on guidance, and I want to turn it back to Olivier now.
Olivier A. Filliol: Thanks, Bill. Let me start with summary comments on business conditions. Lab growth was modest in the quarter, which we expected given the 12% growth in prior year quarter. All product lines have growth with the exception of balances, which was impacted by the Non-life Science business. I continue to feel confident about our market share, as we continue to benefit from our sales and marketing initiatives, pricing, as well as good product pipeline. Industrial was up low single-digits. Our core industrial business was flat with prior year, not a bad result given the challenging environment and the 18% organic growth in the prior year period. Product Inspection continues to do very well and was up nicely despite a strong quarter 1 year ago. As expected, Retail was down in the quarter with declines in all regions of the world. Now looking at the geographies. Europe was down 5% in the quarter, slightly better than we expected the last time we spoke. Growth in Europe in Q3 2011, on an organic base, was up 14%. So we knew we were facing tough comparisons. Americas was up 1% in the quarter, a little weaker than we expected. We had solid growth in Industrial and modest declines in Lab and Retail. The decline in Lab was primarily with our Industrial customers, for example, in Chemical. Finally, Asia/Rest of World was up 7% in the quarter, a little lower than we had expected. Lab had double-digit growth while Industrial had mid-single-digit growth, and Retail was down. That covers my comments on the business. Although market conditions are challenging, we believe we can continue to grow faster than our underlying markets by tailoring our sales and marketing programs to the current environment. Let me provide some examples to make this point more tangible. As a reminder, our business in the Americas and Europe is primarily a replacement business. During these periods of slowing growth, we want to stay in front of potential customers, so when they do buy, they give us of the opportunity to quote. Once given the opportunity to quote, we tend to do well. The challenge is to pinpoint the best opportunities in an efficient manner. A big focus for us during these times is cross-selling. We have hundreds of hundreds of thousands of customers, and typically sell to the individual end user of the instrument rather than to a purchasing or procurement department. As a reminder, no end customer accounts for more than 1% of sales. Given our wide range of products, we have a sizable opportunity to market and cross-sell to our existing customer base. Our customers are often organizations with different locations. And because we are selling to individual users, the challenge is to fully understand their needs and gain access to those end users. Customer analysis, account mapping and detailed penetration plans are necessary for success. It requires a sizable amount of upfront work but the payoff is that conversion of leads to orders is much higher when we cross sell. A simple but important element of this program is to ensure our sales resources are focused on the opportunities with meaningful near-term potential. Internally, we refer to this as sales force guidance. While still early in this program, we have found that the conversion rate is significantly higher than for our typical marketing lead with larger overall dollar volumes. We use sophisticated tools to identify these opportunities, and are more directive in pushing the sales force toward that. We have implemented complete targets by sales rep to reinforce this priority. We have also developed toolboxes to make their visits successful. We believe this program can help us make meaningful improvement in sales force productivity. Finally, we are increasing -- increasingly leveraging telesales resources to reduce the cost of selling. These efforts are especially effective to sell basic products, as well as consumables and service contract. This is not a cold calling program, but rather a way to target sales resources to accounts that have good potential but are not large enough to justify a dedicated field sales effort. A telesales resource can reach 3,000 contacts per year. We have increased our telesales resources as part of our field turbo [ph] program that I spoke to you about last year. We are happy with the initial results we have seen in our pilot countries such as Germany and France and in businesses such as [indiscernible]. Cross-selling, sales force styles [ph] and telesales are all effective tools given current market weakness. We're also continuing to optimize search word functionality to enhance our marketing investments. Value selling and return on investment are also more important during more challenging market conditions as customers need stronger justification for replacing a product. Our technology leadership provides an advantage as we enjoy strong value propositions versus the competition. For example, we recently launched a new flagship PH meter, which is clearly well advanced from anything else in the market today. The modular concept of these high-end instruments allows for single-, dual- or triple-channel measurements of PH conductivity or ion concentration. For the first time, a PH meter can be programmed to run measurements for specific application [Audio Gap] The customer increases productivity, reduces errors and ensures compliance with standard operating procedures. This is particularly important for customers in regulated industries such as pharma, and increasingly, food manufacturers. The instrument had the highest level of security features to prevent errors and incorporates our intelligent sensor management sensors which help ensure accuracy and minimize risk around sensor handling and replacement. We have been gaining share in the PH market and believe this introduction will further this gain. This business, which has a high consumable stream, also has attractive margins. We're also launching a new generation x-ray inspection system, which provides food and pharmaceutical manufacturers with the same high level of brain-body detection sensitivity as a traditional x-ray system, but requires more than -- 20% less power. This lower energy consumption reduces the customer's cost of ownership. The new x-ray system has an enhanced ergonomic design, reduced footprint and an updated user interface to incorporate icon-driven and touch-and-scroll features. While the software is highly sophisticated to detect foreign bodies or ensure accurate portion control, it is easy to use and requires little training. The instrument is designed for control of small- and medium-sized packages. We are the market leader in product inspection, and this new launch further reinforces our position compared with our nearest competitors. These are just 2 examples, but I think they demonstrate how our products can provide tangible benefits to our customers in terms of increased productivity, lower costs, reduced training and greater accuracy. In addition to tailored Spinnaker marketing initiatives and new product launches, pricing will serve us well during this more challenging economic times. Pricing can be challenging in tough economic times, but as we saw during 2009, with smart pricing strategies and strong execution, we can deliver excellent results. Our organization is working now to prepare for price increases that will go into effect on January 1. There's a substantial amount of analytical work that goes into determining price increases. We have many products and sell in many regions. We analyze pricing power based on 4 factors: Brand strength, value proposition of the product, willingness of customers to pay and competitiveness of the market. We weight and rate these factors to determine what pricing level is appropriate for each product. We do similar detailed analysis for our service contract and spare parts. We then complement this upfront analysis with win-loss analysis and price realization reporting to monitor how effective we are in pricing. We expect pricing to continue to be a strong source of margin expansion. In summary, market conditions are challenging but we are implementing cost control initiatives and other margin enhancement programs like pricing to help offset the downturn. We're also ensuring that our marketing programs and new product launches position us to outgrow the market. We believe we can outperform our competition during any potential downturn and will continue to focus on shareholder returns. That concludes our prepared remarks. We are now ready for Q&A. As I mentioned at the beginning of the call, due to travel complications with the weather, I'm at a hotel in Tarrytown while Bill is in our offices in Columbus. Bill and I will have to coordinate a bit more than the usual since we are not in the same room. I want to mention it in case you are wondering why we are interacting a little differently than we normally do. Now, operator, if you can open the line for questions, please.
Operator: [Operator Instructions] Your first question comes from the line of Ross Muken from ISI Group.
Ross Muken - ISI Group Inc., Research Division: So, yes, just on the sort of broader context, particularly on the industrial side. I know we've seen kind of our survey work come down consecutively for the last several weeks. I mean, you're starting of the see it, obviously, in some of the bigger industrial results and now in your growth. But more recently, in the last couple of days, we've had some signs of life on ISM and some of the other indicators in China, and then in the U.S. I mean, in terms of the inflection points or sort of the trajectory, at least in your more sensitive businesses, what are you following most closely to kind of get a pulse on -- particularly in the U.S., sort of the trajectory and in China, the trajectory on the business? Because it seems like Europe's going to be a bigger challenge. And what subsegments are most short-cycle in terms of where we would see a turn more quickly than maybe others?
William P. Donnelly: Okay, let me start there, Ross. So, first of all, our industrial business, as you correctly point out, has a lot of short cycle stuff in it, and it also, we tend to be a little bit late-cycle. We typically look at ISM manufacturing GDP numbers, all the typical industrial ones. And as a reminder, in addition to our industrial business, a large piece of our laboratory business, probably a little more than half goes to, let's call it, non-life science customers. And both of those groups have some sensitivities. Now what we would -- if I can kind of go through the U.S., Europe and Asia, and our industrial businesses, what we saw in China is that, on the positive side, we actually had, for the first time this year, better order growth than sales growth coming out of China. I don't jump too much on one quarter to be a trend, and probably China is the one place in the world where we have a little bit more backlog on the industrial side than we do maybe in some of the other pieces of business. So I don't think that'll benefit, too much, Q4 sales but if we, again, had a similar quarter in Q4 where we had a little better order growth than sales growth, I would start to think that things are moving in a good direction there. Our guys, in particular, are still waiting for some of the impact of government, direct or indirect related spending, and some of the things being done in the Center or Western part of the country that we could benefit from. Then if I go to the Americas, we again had not too bad of a quarter there. I would say that, even in our core industrial business, the order entry growth was not so bad in the quarter. I think we kind of had a very good August, a so-so September and I'll see how final orders come out for that subsegment in the month of October. I haven't seen that piece yet. And our Product Inspection business continues to do well, but they're running up against really tough comparisons. So the U.S. business, I probably see going at a similar cycle to what you saw in Q3. And then in Europe, I think that the piece that I'm not quite sure about yet is how some of the end-of-year budget flush will -- that tends to be more in our industrial lab customers. And I'll be interested to see how that plays out here at the end of the year. Now in terms of how we see different segments we serve with our industrial instruments, I would say that chemical industry, relatively weaker. Food actually looked pretty solid, and those are probably 2 of the bigger areas that we see.
Operator: Your next question comes from the line of Dan Arias from UBS.
Daniel Arias - UBS Investment Bank, Research Division: Bill, you talked a bit about -- or Olivier talked a bit about what goes into your pricing strategy and the increases that you'll be putting through in January. Can you just contrast the level of pricing power that you envision next year versus what you had when things got challenging in 2009?
Olivier A. Filliol: Our pricing strategy is quite a steady one. What the whole higher attention to pricing started a few years ago, in context of Spinnaker. And like we do always, with Spinnaker, we engage in a journey where we first address the basics and then we get more and more sophisticated. And in essence, what we pursue now is this continuous improvement. We get more and more sophisticated and the programs that we would do next year, our tapping in that opportunity. I don't see that the economic cycle is really having an impact on this strategy. We are not particularly more cautious or more ambitious on this. We would just recognize when the economic situation is more challenging, it needs even more attention, that we will get the full benefit because we really depend on this margin expansion. What I would expect for next year, in terms of pricing realization, is about what we also experienced in average, in the last few years I think. Assuming a 1% to 1.5% range is realistic from today's perspective. And I'm actually confident that we can really implement that, also based on the more recent win-loss analysis that we have performed. It was actually quite a topic with the management team when we met earlier this week. We reviewed the latest data, and it really confirmed that we are on a good track. So again, I think, the 1% to 1.5% is a good assumption going forward.
Daniel Arias - UBS Investment Bank, Research Division: Got it, okay. And then on guidance, on your expectations for a better second half of next year, is that just based primarily on a better set of quarterly comps, or is it also your expectation for some improvements in spending in 3Q and 4Q?
Olivier A. Filliol: It's a little bit of both. We would certainly expect that the economic situation will gradually improve, and we are late cycle, so it will take us a little bit more time. And then, of course, for this year, comparisons become, in the second part of next year, much more reasonable than maybe at the beginning of the year where we still experienced good growth in 2012.
Operator: Your next question comes from the line of Jon Groberg from Macquarie.
Jonathan P. Groberg - Macquarie Research: I guess, [indiscernible], as you think about guidance for next year, can you maybe -- 1 to 4 [ph], say you do the midpoint of the growth range. I'm guessing, tax rate's about the same and you do your regular buybacks. So can you maybe just walk through the kind of what you're expecting on op margin side? I know you said FX, you expect should be kind of neutral. So can you maybe just walk through what you expect there in '13?
William P. Donnelly: Sure. We should end up with -- at the midpoint of the range in a constant currency environment. I think we can improve the operating margins by about 50 bps, so we would be north of 19%. That's our definition before amortization. And I think that's a realistic expectation. Probably half of that or so maybe a little more could come from gross profit margin and the rest come from additional efforts on the cost side. The full year impact of the cost restructuring programs we're doing maybe a little bit offset with us taking the incentive comp back up to budgeted levels, which are below budgeted levels now this year.
Jonathan P. Groberg - Macquarie Research: All right. It's already going to be kind of my question on the variable comp side. I would -- so it will be set back to budget, you get some of the restructuring that you talked about, the pricing that Olivier went over, you expect to get a little bit on the gross margin side. I just want to make sure I understood all the moving pieces there because you're talking about a lot of -- obviously, not a lot of revenue growth.
William P. Donnelly: Right. The implied incremental margins on that are in the 40% range, which is obviously a good number and reflects that. Maybe if I were to give you more details on the gross profit margin, we would expect, as Olivier pointed out, good numbers on pricing, I think. I see no reason why this year, I think material costs year-to-date are down 2%, 3%. I would expect, and maybe not that good, but another good year next year. A, probably mix will be a little bit against us with the European mix on, as you know, we sell mostly all direct in Europe at relatively higher prices, and so that's good on the gross margin side as compared to maybe emerging markets. And maybe 1 or 2 other things we kind of see in the mix going out next year. But I think we'll make a meaningful improvement in our operating margin again next year.
Jonathan P. Groberg - Macquarie Research: Okay, that's helpful. And then, was there anything -- I know that most of your products aren't really expensive, but still a lot of capital equipment. Are you seeing anything there? Or how are you yourselves thinking about CapEx as you move through '13? I mean, does it feel like a softer patch or do you feel like things could materially slow on the capital equipment side of your business, which is obviously the majority of what you do?
Olivier A. Filliol: Hey, Jon. I think what we see currently is that the interest of customers for our product remains high. We have good project pipelines. We have a good quote request, but it takes longer for the quotes to convert to closed deals. And we recognize that customers need -- have tighter budgets. They need more approvals, particularly for these larger items, a lot of CapEx items, as you mentioned. I would hope that this will improve over the next months, quarters, but it certainly takes time. But that's probably then going to be the biggest effect is when all these deals are going to get approved. And it's difficult to exactly read how fast this will come. We are counting on that certainly for the second part of next year.
Jonathan P. Groberg - Macquarie Research: And are you -- just a follow up on that, are you planning on what your CapEx budget for next year relative to this year? What do you expect it to be?
Olivier A. Filliol: For ourselves, it's about the same. We -- it's about the same, particularly also because we have this continuous program around Blue Ocean and we are, of course, maintaining that investment.
Operator: Your next question comes from the line of Jon Wood from Jefferies.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: So, Olivier, I would love to hear just as you look at '13, just kind of a geographic walk down vis-à-vis the midpoint of your guidance, Europe, U.S., and then Asia. How do you foresee those kind of major geographic buckets playing out next year?
Olivier A. Filliol: Okay. Let me just start with some general comments on that, and then I think it's best if Bill tells us more details also based on the modeling that we did. But to start, I would certainly expect Europe to continue to be very challenging. It's pretty much the whole region that is challenging there and both for lab and industrial. We think Europe, there are a few product lines that I would expect to continue to do well, like product inspection, but in general, it will remain difficult. In Americas, I think we would see a little bit of a similar situation as we see today. These feel-good opportunities for us, but we have this challenge that customers are also holding back in converting bigger projects where it needs a capital fund. Asia, probably very dependent on China. China, we are expecting that things are going to improve. I would not the least also start to see -- hope to see benefits from the stimulus package, but that's certainly more at the second part of the year. So Bill, do want to give us maybe a little bit more flavors in terms of growth assumptions that we build in the model?
William P. Donnelly: Sure. So, Jon, for next year, we expect both Europe and the Americas to be somewhere flat to up moderately and Asia and China both to be kind of mid to high single-digit growth. If we then maybe look at it in terms of the major businesses, probably lab and industrial being both up probably low single digits, with maybe lab having relatively more business in the West, seeing still some weakness in U.S. and Europe, but doing better on its smaller emerging markets piece, while industrial probably it will struggle a little bit more than lab in the Western markets, but it has a bigger mix towards emerging markets. So that will help make the 2 come out about the same, we assume. And next year, we've gotten a -- it's tough to predict the food retailing business, but the food retailing business should have some growth next year. We've got a couple of large orders in the pipeline, and if we get a couple more, I think that, that would bode well for a positive number coming out of there. But that's always the hardest one to forecast.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: Understood. Bill, so what did China do overall in the quarter? And what are you expecting for the fourth?
William P. Donnelly: I would expect -- so China, in the third quarter grew by 7%. It did better than that in order entry I mentioned. And I would guess, it's going to be a number between 5%, maybe be a couple percent more if they do good in orders at really at the end of the year. But sitting here now, I wouldn't be surprised if for Asia/Rest of World, we put up a 5%, 6% number in the fourth quarter.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: Okay. If I look at the restructuring program, can you give us an estimate of how much incrementally you will capture in '13? And do you have any of that starting to benefit you in the fourth quarter this year in terms of the savings?
William P. Donnelly: Sure. So, we've been -- we're benefiting already, you can see in the third quarter, and we did a little bit even in the second quarter. Jon, for the full year this year, the benefits of the program should save us about $10 million to $15 million. Now this is the sustainable kind of piece, I'm not talking about the piece due to incentive comp. And then next year, the full year effect will be in the $25 million to $30 million range. So you can assume kind of an incremental next year of another $15 million or so.
Operator: Your next question comes from the line of Derik De Bruin from Bank of America Merrill Lynch.
Rafael Tejada: It's actually Rafael in for Derik. Just one quick housekeeping question. Tax rate for the quarter. I think you mentioned it, I just wanted to double check it, please.
William P. Donnelly: Yes, it's 24.5% as it's been year-to-date. And that's on a before discrete tax item basis. You'll see when we -- as a reminder, when we file our Q, we had some discrete items in Q3 last year, but the before discrete tax item number was 26% last year and it's 24.5% year-to-date.
Rafael Tejada: And that's all we should be using for 2013?
William P. Donnelly: Correct.
Rafael Tejada: Okay. And this is basically a continuation on some questions on China. Back in September, China noted some -- basically some incremental stimulus hang [ph] on infrastructure, and so I'm just wondering what, if at all, this is including your 2013 guidance and if China's stimulus plan is included, how should we think about that net benefit for next year?
Olivier A. Filliol: Hey, Rafael. Yes, we wouldn't have an included and we expect the benefit to really only be later next year. And we have a couple of projects, in particular, infrastructure-related projects that we will benefit from. But whenever we look at the overall portfolio of things that we are selling in China, at the end of the day, the most important factor for us is how the overall economy in China is doing. But we will benefit from it, and we have built it in.
William P. Donnelly: And probably based on history, these things would take some time. I think we would see in past programs, it usually means something we would probably get in the second half of the year some benefit.
Operator: Your next question comes from the line of Isaac Ro from Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: I just want to clarify a little bit on the OpEx savings, you guys touched on earlier in terms of the pacing, it's about $40 million. Is it a multiyear thing or did it sound like it was going to go through by 2013?
William P. Donnelly: No. There's even some pieces that don't get fully implemented and we don't get the full benefit for until '14. So if you think about it as a $40 million program, by the end of next year, we would have captured fully $30 million, and then there's some that roll into '14.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Okay. And if I could just put in a follow-up on China. Any color or commentary you could provide on flowing at the regional level of government monies tied to the 5-year plan. I know you touched on a little bit on your growth expectations, but I'd love any color or commentary you could provide on how you think the new government is putting through some of those larger projects.
Olivier A. Filliol: Bill, you want to take that one?
William P. Donnelly: I think -- both Olivier and I were in China in September, and we've been talking to the guys since then. I generally think the guys are more positive today than they were in September. Our team down there, in part, because they see somehow things starting to loosen up, and that includes related to the government stuff. But if we look at how we -- the role we typically play when these -- spending goes out, we're usually, for lack of a better expression, almost a subcontractor, so it -- or smaller pieces of bigger projects. And so we're maybe not the first guys to give great insight here. Generally -- the general feeling with our team is that there will be -- we will benefit from these programs. We will likely not see much in the way of benefit for them until -- we won't probably get much in the way of orders until next year and even a lot of that, maybe not starting until Q2. And we probably won't see too much of a sales benefit until the second half of the year.
Operator: Your next question comes from the line of Sung Ji Nam from Cantor.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: Was wondering if you could comment on kind of the competitive landscape. I know you guys are still able to command higher pricing, but just curious as to some of your major product categories if you're seeing more pricing pressure in this environment. And then more specifically in China, with the Ohaus brand, if you're seeing increased pricing pressure there from the local competitors.
Olivier A. Filliol: Sure, okay. I would start with the comment that we -- most of our markets are still very fragmented. And we have in that sense a very, very broad competitive base. In particular, for the industrial business, it's more local competitors, regional competitors. And in that sense, I would say the situation is very differentiated by businesses and geographic markets. In general, I would say the competitive landscape is a relatively stable one. We haven't seen big moves. We haven't seen particular exits in these difficult times. But it's certainly an environment that allows us to further consolidate our strength and our franchise. And it allows us to continuously do R&D investments and other investments as other players, particularly smaller players cannot do it. And we'll -- in the long-term, we can then franchise. But on the short term, I do not expect particular moves. In terms of pricing environment, I wouldn't say it becomes particularly more competitive. I would explain that also with the fact that most of our competitors are operating with much lower margins, often very slim margins. So there's not that much room for them to become too aggressive. But I would still say, of course, with that many different competitors, we are always watching that and also adjusting when necessary. Specifically to Ohaus, Ohaus is a global brand. It is a brand that is very well established. For example, in the lab balance business, it would be -- it would have a #3 position. In that sense, with that good presence, we have also good pricing power and are certainly leveraging that one. If you refer to Ohaus in China specifically, I think the competitive landscape is not of a particular concern to Ohaus. What is more that Ohaus is working through dealers and is particularly also selling to export-oriented end customers to the discrete manufacturing industry. And so, Ohaus has in China a more challenging environment and has certainly seen that also in their numbers. But I wouldn't translate that to be a particular challenge in the context of pricing.
Sung Ji Nam - Cantor Fitzgerald & Co., Research Division: Okay, great. And then just one quick question. What percent of your sales do you expect to be coming from China exiting 2012?
William P. Donnelly: Probably about 18% or so.
Operator: Your next question comes from the line of Richard Eastman from Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Bill, could you -- I'll just speak to Olivier. Could you just speak to the pricing capture year-to-date in this year? Are we running in the 2% to 3% range?
William P. Donnelly: Yes, we're at 2.9% year-to-date.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And so, Olivier, your comments next year, kind of 1% to 1.5%. Is that kind of a starting spot or is that just a -- is that a reasonable starting spot for price next year?
Olivier A. Filliol: Yes, it is. The very strong pricing realization that we had year-to-date is also a reflection that we had last year midyear price increase that played and benefited, and then we did certainly a little bit more also in January. And going forward, it is more the execution of the normal programs that we have. But believe me if we have -- if we see that we can capture more, we will certainly take it.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Yes. No, I understand, okay. And then, just a question, how far are we right now in China from having a more balanced mix of industrial and lab sales? Are we anywhere near 45% in both of those categories since we've had lab growth so strong?
Olivier A. Filliol: No. We would actually still be more skewed with industrial versus the corporate average. That will certainly take a while until we have that more balanced on that side. I would expect lab to continue to outgrow industrial. But within the industrial piece, we have, for example, product inspection that has very good growth prospects also in China and would grow above the average. So I think it will take a while, but I see there's a lot of positive, again, because I see these opportunities also in product inspection.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I see, okay. And then just the last question, you had mentioned I think earlier in your comments about in this particular quarter that one of the areas kind of negative variances from plan was in sales in the Americas. And I guess from the quick overview you gave, lab was modestly down. Is that -- was that where the surprise came in the market?
Olivier A. Filliol: So I would say just in general, it was modestly lower than we expected. We saw the weakness in lab business driven by non-life science portion of the business, for example, chemical. There are also some large ticket items with pharma. So going forward, I think we will see a bit better growth in lab, but a little bit slower growth in industrial, probably on the industrial side in particular since our product inspection business enjoyed really excellent growth last year. But I would expect the growth to continue.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. Because I might be wrong in this, but it seems to me in the first part of this year, your lab growth was quite strong in the Americas. So again, as we roll into the first half of next year, those are some pretty difficult comps on the lab -- kind of on the lab side of the Americas, is that...
William P. Donnelly: That's a fair comment, and maybe one other nuance thing. It was another area, the lab in the U.S. where our order entry was a little bit better than our sales growth. So not that I think that there'll be a big turnaround, but maybe that would bode well for some pieces of it. And what we particularly saw in the U.S. market was chemical customers. And that's a big piece of our Process Analytics business, as well as our lab balance business. And those -- we saw those 2 markets in particular being a little softer. Rick, maybe one other comment on the pricing side that I think is worth remembering is that in terms of customer communication, when we're looking at the mid-year price increase that we did -- that benefited that we did in middle of '11 and -- plus the January 1, '12, price increases, we were able to talk a little bit more about material inflation than we can today. And I think that's part of the reason why we think it will be harder to push and communicate. But as Olivier said, I think as long as we're value selling and continuing to do an effective job and providing the sales force with the good tools, we should be able to do what we typically do in a year anyway despite current [ph] economic weakness.
Operator: Your next question comes from the line of Tycho Peterson from JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Bill, can you just comment on gross margin? You had a nice sequential improvement there. Can you just give us a sense of the gives-and-takes? How much of that was FX versus other factors?
William P. Donnelly: Sure. Okay. So maybe kind of walking down within the quarter, we had a good quarter on pricing. You've got a sense we're in the 3% range. And when you do the math, that's an impact of about 150 bps on the gross profit margin. And on the material cost side, material costs were down in the quarter and that benefited the margin as well. But then we had topics like our -- from a mix point of view, geographically, we had a headwind from Europe. I would also point out that certainly, the overall mix of what products we sold in the quarter was a little better than what we had in the first 6 months. We had talked a bit about that in earlier quarters that the product mix wasn't quite what we hoped for, and we certainly had a bit of a catch-up there in Q4. In terms of currency, you could probably assume something like a 40 basis point benefit on gross profit margin due to currency. And those are some of the major pieces, I would say.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay. And then on some of the restructuring that you've talked about in the past in terms of exiting product lines, transferring product lines, can you just bring us up to date with what's been done thus far on those 2 fronts? Have you exited product lines at this point and transferred additional manufacturing?
William P. Donnelly: Well, maybe one way to measure it is that we estimate the cost of the program will run from -- in the range of $20 million to $25 million, and we've incurred about $11 million of that cost so far. Now this cost generally gets incurred as you kind of start to implement those programs. Maybe also as a reminder, a lot -- we certainly are doing some things on the operational side, but as well, a big piece of what we're doing relates to operating people. The people costs not just in manufacturing but in administrative functions and other areas. And some of that's underway, some of that won't get completed until down the road, 2014 even. So it will be kind of gradual over time, but we're going step-by-step, and I think we're happy with the progress so far. And I think that's evident maybe in our margin performance to date, too.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then on the food business, you had a tougher sequential comp this quarter, but can you just talk about the performance there? Was that worse than your expectation? And how are you thinking about that business going forward?
William P. Donnelly: It is a tough business to predict, you have the ups and downs due to large projects. And we are happy how the business performed in terms of margin and return on capital. They -- but they -- you're right, they had a tough quarter, a tough year-to-date in terms of their sales numbers. We have gotten recently a couple of large orders that should have some benefit next year. But we'll see how that plays out. I think overall, the retail business won't do much better in Q4. I think they'll have a tougher time, although I think in the Americas, we'll have a relatively good quarter. But I think Europe has a pretty tough comp.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay. And then -- and maybe one last one for either Olivier or Bill, and I don't know if you've done this before, but can you just talk on the deal pipeline? Are you seeing more in this environment? And any additional thoughts on tuck-in deals?
Olivier A. Filliol: Yes, no -- actually, our strategy on M&A is really a very consistent one. We care very much about the strategic fit and less so driven by the financial market environment. We diligently look at opportunities. We have a good radar of many companies. We maintain and nurture these contacts. And you will see us pursue the strategy in a similar way as we did, focused on bolt-on acquisitions. I don't see a need for acquisitions. It's nice opportunities. But from a strategic standpoint, our franchise is definitely strong enough, and it's not that we have particular gaps that we need to fill. So nothing particular to announce, and I wouldn't pretend that there is a strong pipeline that you would just see us doing a lot of things in the short term, but in the long term, midterm, I feel very confident that we have good ideas and are looking at good companies.
Operator: [Operator Instructions] Your next question comes from the line of Bryan Kipp from CLSA.
Bryan Kipp: Sorry, I got kicked off last time. My headset went -- just a quick question for you guys on your free cash. I didn't see anything on the share repurchases or authorization. Can you just give some color on how much, if you have any, remaining through the year?
William P. Donnelly: We do have enough remaining for this year and most of next year. And at this stage, I would say, our history has been that the Board, when we approach them, we'll -- and I would fully expect then they would again approve an extension of the program and we probably would seek that sometime next year.
Bryan Kipp: Okay. And just one additional quick one. I don't know if I missed it, but do you guys provide any color on your op margin, if you expect it to be sequentially flat? Or any guidance on it for 4Q? Because you guys are guiding $3.10 and $3.20 as you said.
William P. Donnelly: We're going to have a good improvement. We should be -- Q4 a year ago, our EBITA margin was in the 20% range, and I would expect it to be around 22% or so in Q4 this year. In terms of incremental margins, it will also be a good number, actually, a very good number because we have modest growth but quite good profit growth, so it's almost not worth mentioning.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Mary T. Finnegan: Thank you, Mike, and thanks, everyone, for joining us this evening. Just one last item for those of you that are working on your calendars for 2013, at this point, we are planning on holding an Investor Meeting in our Baltimore Automated Chemistry business on Friday, July 26. I know that's a ways away, but I just thought to get it out there now for you as you just start thinking your planning. Of course, we'll give you more details in the new year. That's it from our side. Of course, if you have any questions or need any other information, please don't hesitate to give us a call. Take care.
William P. Donnelly: Thank you.
Operator: This concludes today's conference call. You may now disconnect.